Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Patterson Companies First Quarter Fiscal 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I’d now like to hand the conference over to our speaker today, John Wright, VP of Investor Relations. Please go ahead, sir.
John Wright: Thank you, operator. Good morning, everyone, and thank you for participating in Patterson Companies fiscal 2021 first quarter earnings conference call. Joining me today are Patterson’s President and Chief Executive Officer, Mark Walchirk; and Patterson’s Chief Financial Officer, Don Zurbay. After a review of the fiscal 2021 first quarter by management, we will open the call to your questions. Before we begin, let me remind you that certain comments made during this conference call are forward-looking in nature and subject to certain risks and uncertainties. These factors, which could cause actual results to materially differ from those indicated in such forward-looking statements, are discussed in detail in our Form 10-K and our other filings with the Securities and Exchange Commission. We encourage you to review this material. In addition, comments about the markets we serve, including growth rates and market shares are based upon the Company’s internal analysis and estimates. The content of this conference call contains time-sensitive information that is accurate only as of the date of the live broadcast, September 3, 2020. Patterson undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. Also, a financial slide presentation can be found in the Investor Relations section of our website at pattersoncompanies.com. Please note that in this morning’s conference call, we will reference our adjusted results for the first quarter of fiscal 2021. The reconciliation table in our press release is provided to adjust reported GAAP measures, namely operating income, income before taxes, income tax expense, net income, net income attributable to Patterson Companies, Inc. and diluted earnings per share attributed attributable to Patterson Companies, Inc., for the impact of deal amortization, integration and business restructuring expenses, legal reserve costs and an investment gain along with the related tax effects of these items. We will also discuss free cash flow as defined in our earnings release, which is a non-GAAP measure, and use the term internal sales to represent net sales adjusted to exclude the impact of foreign currency. The reconciliation of our reported and adjusted results can be found in this morning’s press release. These non-GAAP measures are not intended to be a substitute for our GAAP results. This call is being recorded and will be available for replay starting today at noon Central Time for a period of one week. Now, I’d like to hand the call over to Mark Walchirk. 
Mark Walchirk: Thank you, John, and welcome everyone to Patterson’s fiscal 2021 first quarter earnings conference call. I hope all of you and your families are healthy and safe as we all continue to deal with the ongoing impact of the COVID-19 pandemic. We’re very pleased with Patterson’s performance in the first quarter of FY’21. In the face of the ongoing disruption and uncertainty resulting from COVID-19, we remain focused on our strategic and operational objectives and delivered 22% year-over-year growth in our adjusted earnings per share. I know I speak on behalf of the Patterson Board and our entire executive leadership team when I say we are grateful for the hard work, focus, and dedication of the entire Patterson team, which continues to provide exceptional service and be an indispensable partner to our customers during these challenging times. There were three key drivers of our performance in the first quarter. First, sales trends and momentum improved across our end markets in each month of the first quarter, and our revenues are recovering faster than expected. While internal sales for the entire fiscal first quarter decreased 5.8%, year-over-year sales improved each month of the first quarter in our Dental, Companion Animal and Production Animal businesses. And in July, the third month of our first quarter, Patterson returned to year-over-year sales growth compared to July of fiscal 2020. Second, we delivered adjusted operating margin improvement of 40 basis points to achieve an adjusted operating margin of 3.8% in the quarter. This was the result of aggressive cost saving measures and strong execution by our sales, operations, and corporate support teams. Third, our entire Patterson team has responded to the recent challenges with a high degree of passion and focus to serve our customers. Our team has developed and implemented a wide range of support materials and programs specifically designed to help our customers recover from the impact of the COVID-19 pandemic and deal with the continued challenges as the situation evolves. In my remarks today, I’ll start with an overview of Patterson’s first quarter financial performance by segment along with some color on the trends we observed as we progress through our first quarter.  Overall, we are encouraged by the improving sales trends in our business and the momentum we saw in the first quarter. However, we do continue to face uncertainty in our markets related to the ongoing effects of the COVID-19 pandemic. I’ll also provide an overview of our cost savings actions to-date as well as how we’ve ended some of those actions in response to improving business trends before turning it over to Don to provide more detail on our financial results. Let me start first with our Dental segment. Internal sales for the fiscal first quarter in our Dental segments were down 13.9%, reflecting the extremely challenging start to the first quarter followed by a steady recovery in the market. As a reminder, dental practices were required to close in mid-March and could only conduct emergency procedures in accordance with ADA guidelines and various state and local regulations. To put the shutdown in perspective, as we discussed on our fiscal 2020 year-end earnings call in June, Dental segment sales were down in the fiscal month of April by approximately 70% compared to that same period last year. Since then, we have seen our Dental business deliver sequentially improving year-over-year sales each month of our first quarter of fiscal 2021. In fact, in July, our Dental segment grew 5% compared to July of fiscal 2020. Our improving sales performance during our first quarter corresponded to the increasing patient traffic as dental practices opened back up and began to address a backlog of patients who did not see their dentists during the months when their offices were shut down. Within our Dental segment, the consumables category was most impacted by the COVID-19 pandemic. However, the recovery trend line here is also encouraging. Our consumables sales have rebounded to turn positive in July posting double-digit year-over-year sales growth in the final month of the fiscal first quarter compared to July of fiscal 2020. We believe Patterson’s ability to meet the complete needs of dental practices as they restock their offices with supplies, proves to be an important differentiator to our customers. It’s worth noting that Patterson has also served as a reliable source for masks, gloves, and other high-demand personal protective equipment. While PPE has certainly grown as a portion of our consumables category, it still represents less than 20% of consumable sales. Importantly, the increased demand for PPE provides an opportunity to drive sales of our higher margin private label product portfolio, which includes high-quality PPE options for our customers. We continue to see an increase in sales for our private label portfolio of products as we position them effectively alongside our branded products so that we always provide a best choice solution to our customers. Internal sales in our dental equipment category were down high-single digits in the first quarter, as our dental customers paused making certain investments in the practices amid the uncertainty early in the quarter as nearly all of their offices were shutdown. However, as dental practices began to reopen, Patterson worked closely with our manufacturing partners to offer attractive promotional and financing offers across our equipment portfolio, which gained traction during the first quarter. Importantly, Patterson’s equipment and technology offering continues to reinforce our value proposition as customers seek a trusted partner in Patterson who can provide the financing, installation, and ongoing training and support for the entire product lifecycle of the equipment our customers need. We ended the first quarter with the core equipment backlog, an important indicator of our customers’ willingness to invest in their practices and the confidence they have in the future health of their business. In our value-added services business, including software, design services, and equipment, maintenance and repair, revenues continued to recover. Early in the first quarter, our service technicians had very limited access to service our customers with dental practices being closed. However, like other categories within Dental, value-added services experienced sequential top-line improvement each month of the first quarter, driven by strong execution within our field service and support teams and our ability to provide our dental customers with additional tools and resources to help them more effectively open and restore their practices. We are very-pleased with the performance in the Dental segment, considering the significant disruption caused by the COVID-19 pandemic and the limitations placed on dentists to deliver essential care to their patients. Our performance demonstrates that the investments we’ve made over the past several years have continued to pay off for our customers and for Patterson. As we’ve expanded and developed our sales force, delivered productivity tools to our sales and service teams, and grown and invested in our value-added services, our full-service value proposition has only deepened over the past several months. Today, we have a focused and experienced team with deep relationships and credibility as a trusted partner for our dental customers. That being said, challenges and unknowns will remain as we move through the remainder of our fiscal 2021. Given the ongoing impact of the pandemic and the resulting uncertainty, it’s difficult to predict when we can expect a sustained return of patient demand to normalized levels and how much of the resurgence in patient traffic we observed during our fiscal first quarter was serving pent-up demand, while dental offices were closed. While our visibility for the rest of the second quarter and fiscal year remains limited due to the continued uncertainty, we are encouraged by the trend in our Dental business. And in fact in August, which is the first month of our second quarter, we continued to see sequential revenue improvement across all three categories in our Dental segment. Turning now to Animal Health, considering the disruption caused by the COVID-19 pandemic, we’re also very pleased with how our Animal Health segment performed in the first fiscal quarter. Internal sales were essentially flat with the first quarter of the prior fiscal year as strong growth in our companion animal business was offset by continued unexpected challenges in the production animal end markets. Both, our companion animal and production animal businesses are recovering faster and performing better than we had anticipated with an encouraging trend of sequential sales growth during each month of the first fiscal quarter and continuing into August. Patterson’s companion animal business delivered strong top-line growth in the first quarter. This performance reflects a recovery in pet owner business, and the focused execution of our value proposition for veterinarians, which allowed Patterson to capitalize on the recent increase in pet ownership. More Americans are becoming attentive pet owners with the flexibility and desire to care for their pets in their new work-from-home lifestyles, driving an increased focus on pet care. At the same time, veterinarians have responded by adjusting their operations to care for their expanding client base of pet owners. Our deep existing relationships with veterinarians have positioned us well to support them as they navigate these opportunities and challenges. Not only just Patterson provide a broad array of products, services and equipment to veterinarians, but our offerings also include the technologies and services that these professionals need to most effectively serve their customers, such as building branded mobile apps for the practices and facilitating home delivery of prescriptions. In addition, our NaVetor cloud-based practice management software delivers an extensive set of tools and help veterinarians develop a closer connection with the pet owners and to serve them in the most flexible and efficient manner possible. The production animal business also demonstrated improving sales trends in each month of the first fiscal quarter. However, the overall market in our business has yet to return to the year-over-year growth that was shown prior to the onset of the COVID-19 pandemic. Exports on protein have slowed, and while the beef market is recovering a bit, the swine market has been more challenging due to the occasional processing plant shutdowns that impact its water capacity. The dairy market has been adapting to changes in customer demand in the past several years, and that portion of our business has been fairly resilient in recent months. Despite the supply chain challenges our production animal customers face, we know how our production animal team is highly valued by our customers as a trusted and indispensable partner to their operations. Our team works to help ensure herd health and prevent disease with customized delivery models while providing deep market expertise, exceptional service and a wide range of products and technology support. Before I turn the call over to Don, I want to briefly discuss Patterson’s disciplined cost controls, and the impact on our operating margin in the first quarter and our business going forward. As we communicated back in April, we took a wide range of aggressive cost saving measures to both, preserve our liquidity and reduce expenses, including canceling all in-person meetings and sales events, restricting all travel, initiating a headcount freeze and eliminating all non-essential capital projects and discretionary spending. In addition, Patterson implemented temporary salary reductions, furloughs and reduced work hours across our entire workforce. Combined with strong execution and our ongoing margin improvement initiatives, these cost saving measures drove Paterson’s strong adjusted operating margin improvement in the first quarter and helped preserve our liquidity positioning. Looking ahead, many of the cost savings actions we’ve taken will remain in place for the time being. However, several of the other cost measures, including furloughs and reduced salaries were designed to be temporary in nature as we responded to the sharp downturn caused by the pandemic. On August 1st, in response to the improved business trends I described earlier, we ended our furloughs and reinstated salaries back to normal levels. Our entire organization made deep sacrifices to support the continued success of Patterson. And I want to sincerely thank all of our employees for their sacrifice during this period. These actions, the recovery in our end markets, and our strong execution gave us the flexibility and confidence to scale our team back up to meet the increasing customer demand. That being said, we remain flexible and prepared to take additional cost saving actions as the dynamics in our end markets change materially in the coming months. And now, I’ll turn the call over to Don to walk through our first quarter performance in more detail.
Don Zurbay: Thank you, Mark. And good morning, everyone. Consolidated reported sales for Patterson Companies in our fiscal 2021 first quarter were $1.25 billion, a decrease of 6.2% versus the first quarter a year ago. Internal sales which are adjusted for the effects of currency translation, decreased 5.8% compared to the same period last year. As Mark mentioned, year-over-year internal sales growth for Patterson Companies improved sequentially at a steady pace during the quarter as we began to recover from the initial impact of the COVID-19 pandemic. While we did benefit from improving market dynamics in both of our segments, our revenue performance is also aided by strong sales and supply chain execution to meet the needs of our customers as they began to recover from the wide range effects of the pandemic. Our first quarter adjusted gross margin was 20.4%, which was down 140 basis points versus the first quarter of fiscal 2020. Segment mix was a primary contributor to this decrease as our Dental segment experienced a greater year-over-year sales volume decline than our Animal Health segment in the first quarter, as most dental practices remained closed in the month of May. Adjusted operating expenses as a percentage of net sales for the first quarter was 16.6% and favorable by 180 basis points on a year-over-year basis, primarily related to the aggressive cost saving actions Mark described that we executed in response to COVID-19. In the fiscal first quarter, our consolidated adjusted operating margin was 3.8%, which represents a 40-basis-point improvement over the same period in the prior year. As you recall, our consolidated adjusted operating margin has improved for a number of quarters, posting year-over-year improvement for the past six quarters as a result of our efforts to drive operational improvements and expense discipline, along with the added impact of segment mix and leveraging of higher sales volume. We’re encouraged to have continued this improvement for another quarter. Expense actions related to COVID-19 significantly contributed to our operating margin during the first quarter. During the fourth quarter of fiscal 2020, as the COVID-19 pandemic began to disrupt our markets and our business, we promptly took the necessary actions to eliminate discretionary expenses. As we previously announced, we also implemented temporary salary reductions, furloughs and reduced work hours across the majority of our workforce. At the end of the first quarter, given the improvement in the business, some of these cost actions were eliminated. We estimate that there was $20 million or $0.15 per share of onetime cost reductions and other benefits that were recognized during the first quarter that we do not expect to benefit from in future periods. Our adjusted tax rate for the first quarter was 26.4%, which was a decrease of 70 basis points compared to the first quarter of the prior year. Reported net income attributable to Patterson Companies, Inc., for the first quarter of fiscal 2021 was $24.4 million or $0.25 per diluted share. This compares to reported net income of $30.0 million or $0.32 per diluted share in the first quarter one year ago. Adjusted net income attributable to Patterson Companies, Inc. in the first quarter, which excludes deal amortization, integration and business restructuring expenses, legal reserve costs and an investment gain totaled $31.5 million or $0.33 per diluted share. This compares to $25.4 million or $0.27 in the first quarter of fiscal 2020 and represents a $0.06 or 22% year-over-year increase. This increase over the prior year reflects the benefits of the COVID-related expense savings as well as the sequentially improving sales trends during the quarter and our focused execution to drive sales. Now, let’s turn to our business segment, starting with our Dental business. As you recall, the American Dental Association along with various other state and local governments placed severe restrictions on dental offices in response to COVID-19. Dental offices were shut down in April and May and started to reopen to see patients in June. When offices did reopen, dentists had to adapt to changes in patient scheduling and infection control. Given the continued impact and dental practice closures early in the quarter, first quarter internal sales for our Dental business decreased 13.9% compared to the first quarter of fiscal 2020. On that same basis, Patterson’s sales of consumable dental supplies were down 15.3% and sales of equipment in the first quarter decreased 9.9% versus the same period a year ago. In addition, internal sales of software and value-added services decreased 14.9% in the first quarter. As Mark mentioned, our sales trends improved sequentially over the course of the fiscal first quarter. As we mentioned on our fiscal 2020 year-end earnings call in June, total Dental revenue was down approximately 40% year-over-year in the month of May, as most dental offices were closed and only performing emergency procedures. In June, dental offices began opening and our Dental revenue was down approximately 15%, reflecting the sequential improvement in the market and our focused execution to help our Dental customers reopen and start seeing patients again. Our business improved even further in the month of July where our Dental revenue increased 5% on a year-over-year basis. July sales performance was driven by strong growth of dental consumables which grew double digits on a year-over-year basis. Adjusted operating margins in Dental were 9.4% in the first quarter, a 200 basis-point improvement compared to the prior year. Dental gross margins were up slightly in the first quarter and we also benefited from the cost actions taken to decrease operating expenses and from other variable expense savings related to reduced volumes. Now, let’s move on to our Animal Health segment. Within our Animal Health business, the COVID-19 pandemic impacted our companion animal business to a much different degree than our production animal business. During the pandemic, pet adoptions and pet spending increased on a year-over-year basis while the production animal market was impacted by processing plant closures in the month of May and continued lower plant utilization throughout the quarter. As we finished up the fiscal first quarter, internal sales for Animal Health business were flat compared to the same period a year ago. Adjusted operating margins in our Animal Health segment were 3.2% in the fiscal first quarter, a decrease of 30 basis points compared to the first quarter of the prior year as lower operating expenses were offset by lower sales volumes and lower gross margins. Now, let’s look at several cash flow and balance sheet items. During first quarter fiscal 2021, we used $229.8 million in cash from operating activities. We also collected deferred purchase price receivables of $139.5 million during the quarter, which is included in the investing activities section of the cash flow statement. To fully appreciate our free cash flow, the total of these two amounts is a use of cash of $90.3 million. Free cash flow, which we have explained in calculating the table within our press release, decreased $148.4 million during the first quarter of fiscal 2021, compared to fiscal 2020. The year-over-year decrease is primarily due to an increased level of working capital. Turning to capital allocation, we continue to execute on our strategy to return cash to our shareholders. In the first quarter of fiscal 2021, we declared a quarterly cash dividend of $0.26 per diluted share, which was then paid during the second quarter of fiscal 2021. Our Board continues to view our dividend as an important component of returning value to our shareholders. And the current dividend yield provides a meaningful baseline return to shareholders as we continue focusing on our plans to drive improved performance in the business. Let me conclude with some comments on our outlook for fiscal 2021. Due to the continued uncertainty surrounding the COVID-19 pandemic and its impact on business operations, we are not providing fiscal 2021 financial guidance at this time. And now, I will turn the call back over to Mark.
Mark Walchirk: Now, before we wrap up and take your questions, I want to again thank and acknowledge our entire Patterson team. We are truly proud of the passion and focus our teams bring every day in support of our customers as they continue to provide essential services in their communities. And while we are certainly encouraged by the first quarter momentum in our business, we remain cautiously optimistic, given the ongoing uncertainty related to the impact of the COVID-19 pandemic. At the same time, this uncertainty has not and will not distract us from serving our customers, investing in our people, and executing on our strategy and key initiatives to become an even stronger Patterson and to deliver value to our shareholders. And with that, we’ll now take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of John Kreger of William Blair. Your line is open.
John Kreger: Hi, guys. Thanks very much for all the detail. Mark, curious, as you bring the cost structure back on line to a more normal level, assuming the monthly trends kind of continue as they have been, do you think you can continue to have margin improvement as we move through the rest of the fiscal year?
Mark Walchirk: Yes. John, thanks, and good morning. And I’ll certainly ask Don to chime in. I think, it’s still early for us to truly understand how things are going to continue to play out in the coming months. And certainly, there’s still a fair amount of variables and factors involved. And I think we need to see some -- a period of stability across our end markets before we would want to, you know, make any predictions going forward. But, I’ll certainly ask Don to chime in further.
Don Zurbay: Yes. John, I appreciate it. I mean, I think, look, we’re watching this very carefully, and we want to be a little bit careful here to not give guidance or make predictions just given all the uncertainty. I think, you can kind of look at how this has progressed so far. I think, the cost savings in the quarter helped, but as I mentioned, there’s about $20 million of expense savings that helped us in the first quarter that we don’t expect to recur as we move into Q2, Q3, and Q4. But, listen at the same time, we’ve been pretty encouraged by where we’re at. So, I think there’s a good balance there. But, we wouldn’t really want to speculate in this forum on what’s going to happen with margin.
John Kreger: Okay, great. Thanks. And another question. Mark, I think, I heard you mentioned home delivery is an area that has seen an uptick in companion. Can you just remind us how that impacts your P&L and whether the pop in home delivery interest among pet owners is being sustained or sustainable in your view? Thanks.
Mark Walchirk: Yes. John, thanks. Certainly, we’ve benefited from the increased adoption of home delivery in the companion animal space, and particularly via our partnership with Vetsource. There was certainly a pretty sharp increase in demand for home delivery at the onset of the pandemic. I think, these rates have certainly tempered of late as obviously things – as restrictions have eased and pet owners are going back to their vets. So, our focus is really on providing that full-service value proposition for our veterinarian customers, giving them tools, helping them with tools and technology that allow them to really connect with their customers, their pet owner patients. And so, we certainly benefit again via our relationship with the veterinarians, our relationship with Vetsource. And we just view that as an overall part of the service offering that we provide to our customers.
John Kreger: Okay. Thank you.
Mark Walchirk: Thanks, John.
Operator: Your next question comes from line of Jeff Johnson of Baird. Your line is open.
Jeff Johnson: Good morning, guys. I guess, Mark, I wanted to start with you. I wanted to ask two dental questions. One, on just the dental consumables business. If I take your 5% July number, and presumably August was similar to slightly better. That seems to be about 25 to 30 points, maybe better than volume growth that we’re seeing in the industry, or if you look at just patient volume feedback across a number of different surveys and industry sources. So, wonder do you agree with that? Number one. And maybe if you can help us bridge that gap on why revenues versus volumes are so much better, I think, 10 or 15 points of that might be PPE. But, help us bridge maybe the rest of that. Thank you.
Mark Walchirk: Yes. Jeff, thanks. Certainly, I think the key here is we’re in a very -- somewhat volatile period, right, where we’ve seen -- saw the sharp downturn, obviously, March, April, May, and we’re seeing obviously the curve over the last couple of months. And we’re certainly encouraged by the improved trends that we’ve seen over the past several months. It is interesting, our dental customers faced a wide range of challenges as they moved to reopen and restore their practices. And we’ve been very-focused on helping our customers reopen safely, productively, and really get back on line and on track. I think, in terms of obviously the consumables in particular, we do expect that some of that may have been some pent-up demand, as patients were not able to go to the dentists for an extended period of time. Certainly, PPE has also been a contributor, as our customers are sourcing PPE products, obviously looking to make sure they have the appropriate supply of PPE products to ensure the safety of their patients, of their staff, et cetera. So, I think there’s a number of factors in play there. I think, as we mentioned certainly I think before, we’d be in a position to kind of firmly predict the future, and as Don indicated, provide guidance. We want to see some stability and I think we want to see to your point, some of the variation between revenue and units start again to stabilize and really see where kind of the PPE dynamic is going to play out over time. So, there’s still some volatility. We’re really pleased, obviously with the improved trends that we’re seeing. We’re pleased with, frankly, our team’s focus on continuing to drive our consumables revenue and units. And I think what we’re seeing is, there’s some of the momentum that we saw pre-COVID, we’re starting to see as we ramp back up with dental offices and patient demand.
Jeff Johnson: That’s helpful. Thank you. And then, maybe a similar question on the equipment side, on the dental equipment side. The down 10%, may be a little bit better I think than a lot of us were thinking. How much in the quarter itself did some of the air purification or some of the maybe the aerosol mitigation stuff help? How sustainable is that? Is that another quarter or two of tailwind from that? And do you feel like stimulus had any help in the quarter, and how to think about maybe what that means for the next couple of quarters, as well? That would be helpful. Thank you.
Mark Walchirk: Yes. Thanks, Jeff. Look, I think in general, we’ve seen our equipment and technology also recover better than I think we expected. I think, we previously indicated, we thought consumables would certainly ramp up more quickly. And I would say, as we look ahead, we still believe that that dynamic is there somewhat. But, it’s really interesting. Our dental customers continue to invest in their practices. We obviously see that as a positive sign of our customers and view of their prospects. And certainly we’re working closely with our manufacturer partners to watch programs and promotions to help support the equipment and technology portion of our business. The air purification, certainly it’s a factor, but I would say it’s not a material one in terms of our overall kind of equipment and technology portfolio. And look, I think, our dental customers recognize that these investments are helping them to be more productive. They’re helping to ensure the health and safety of their staff and their patients, and making investments to improve the productivity and profitability of the practices. So, we’re certainly very-focused obviously and helping our customers see that value. And this is frankly an area where we believe we continue to really distinguish ourselves in the marketplace with really the complete lifecycle of equipment and technology. And, this is an area where I think we can continue to benefit in the months ahead, certainly, as our customers continue to invest in the practices.
Operator: Your next question comes from line of Kevin Caliendo of UBS. Your line is open.
Kevin Caliendo: I want to delve a little bit deeper into the equipment question. Maybe you can ask it this way. But when we think about equipment sales in the quarter, how much of that was from orders sort of post the COVID shutdowns, meaning incremental new orders? And if we eliminate maybe the COVID-related sales, whether it’s purifications or other safety or things to improve productivity, but totally sort of equipment, how would that have trended? Is there any way to sort of quantify that aspect of it?
Mark Walchirk: Kevin, thanks for the question. I mean, I’m not going to get into breaking down the various components of our kind of equipment and technology segments and what those specific rates were. I would just probably reiterate kind of the comments that I made to Jeff’s question. We -- the recovery in that area has been better than we expected so far. We’re very -- we’re encouraged by the fact that our dental customers are continuing to invest in their practice. I think they see this as an opportunity to make investments that are going to help them from a productivity standpoint, from an efficiency and profitability standpoint, help again from a safety perspective in their practices. We certainly did see some, I think, pent-up demand in our kind of equipment category after really eight weeks of offices being shut down. But, as I mentioned earlier, we certainly feel like we have a nice backlog right now in our core equipment offering. So, again, I think, our customers, we do that as a positive sign, they’re investing in their practices and they recognize the full value of kind of the entire equipment technology lifecycle that Patterson can bring to the table for them. And I think, as I said, we’re seeing that recovery so far better than we expected. And sorry not to answer your question in more detail, but again, we’re just not going to break down the smaller chunks of our equipment and technology category this time.
Kevin Caliendo: No. I appreciate that. And just one quick follow-up. I know, you don’t want to provide guidance in general, but just talking about the free cash flow, you mentioned there was some working capital that was really the primary cause of the burn in the quarter. Are you expecting that to reverse? Any sort of color you can provide around sort of expectations for cash flow going forward?
Don Zurbay: Yes. Well, I think -- this is Don. I think that maybe the way to look at that is as we worked through the fourth quarter and the month of April, particularly, as you can imagine, we were pretty careful with our cash flow and we’re pretty careful with our accounts payable and all of the factors that that help that. And so, that had a positive impact in the fourth quarter. But, ultimately as we worked through the first quarter, that kind of came back. And so, I think that it’s more of a fourth quarter, first quarter of fiscal 2021 kind of dynamic -- timing dynamic.
Operator: Your next question comes from the line of Nathan Rich of Goldman Sachs. Your line is open.
Nathan Rich: Mark, maybe following up on your comments on August, I appreciate that there’s a number of kind of factors that kind of are in place here. But, it’d be great to get your view on just kind of where you feel like we are in the cycle of kind of demand. And, when you look at things like procedure mix, potentially practices kind of getting back up and running and maybe restocking a little bit. Like, how much that may have kind of impacted the improvement in the growth that you’ve seen versus the maybe underlying demand in the business. I appreciate there’s a lot of factors at play, but it’d be helpful to get your view on kind of how much of the delta might be from this kind of period of pent-up demand that we’re seeing.
Mark Walchirk: Yes. Nathan, thanks. I mean, I think that’s the big question. Right? I think, none of us can predict exactly what’s going to happen here. And we’re certainly in a period of a lot of volatility. And I think we want to be in a period where we see some level of stability before we’d be comfortable in kind of predicting what we would expect going forward. And so, I think there’s just so many factors involved here, as I know you guys are trying to triangulate as well. And we continue to use our internal -- external data sources, monitoring, obviously revenue trends, unit trends, the specific types of products obviously that are being purchased. And I think the bottom-line here is, we’re certainly encouraged by the improved trends, and I think the slope of the curve that we’ve seen so far. But I certainly expect that there will be some stabilization, obviously, with the big assumption that the pandemic kind of continues on its current course. And there’s now some significant change associated with pandemic that affects our end markets. And in terms of all of these different factors, we’re obviously literally reviewing them on a daily basis and putting our best thinking against how things are going to continue to play out. But, I think right now, it’s really difficult for us to give a clear indication of how things will play out, what specific products are going to grow at what specific rates? There’s just too many variables at this point.
Nathan Rich: Okay. I appreciate the color there. And maybe a follow-up on the cash flow performance. Could you maybe just talk about what drove the working capital performance in the first quarter? And how we should be thinking about that over the balance of the year, as you think about free cash flow?
Don Zurbay: Yes. Well, kind of as I mentioned, I think there was a pretty significant timing element at the end of the fiscal year versus the end of Q1. We were pretty careful in how we were managing our working capital at the end of the fiscal year, just given where we were in the pandemic, and obviously we’re still in that mode. But, for instance our accounts payable performance, if you look at that, I think, we made a fair amount of payments during the first quarter, which affect cash flow. So, I think there’s some of those kind of timing elements that are in play here. I think, if you look over the balance of the fiscal year, again, without really trying to give guidance here, I think what you see is a more normalization of quarter-over-quarter free cash flow experience. So that’s -- it will kind of normalize. I think, there was more of a timing element in Q1 than you’ll see the rest of the year.
Nathan Rich: Thanks for the questions.
Operator: Your next question comes from line of Kevin Kedra of G.research. Your line is open.
Kevin Kedra: Thanks for taking my questions. First, wondering if maybe you could just comment if you’re seeing any difference in trends between some independent practices and larger group practices, what you’re seeing in patient flow or willingness to make investments on the equipment side into building those businesses.
Mark Walchirk: I think, what we saw from the data, I think very early on in recovery is that the DSO practices were indeed ramping up a bit more quickly than some of the private practices. I think that curve has flattened and I think really the recovery to date has really been driven really across the broad categories of our customers, right, national large DSOs, regional DSOs and certainly private practice as well. So, I think the difference that we saw at the beginning is largely closed now. And we’re seeing that private practices are open at the rates in the patient volumes that are largely similar to the DSOs. And so, we obviously, again, view that as a continued kind of encouragement and cautious optimism in terms of the pace of the recovery and just the stability, if you will, of the continued recovery, again, in light of any potential changes that could be caused as a result of the pandemic. But, we certainly feel good about where the broad dental market in North America has recovered to this point.
Kevin Kedra: And then, something that you guys have spoken to in the past and now we’re a few more months down the road with COVID. When you start looking potentially past COVID and longer term, do you see any changes that happened over the past few months as being things that will be sticking around and really a part of the way that you’re going to be doing business going forward either at Patterson or within the industry, anything that’s kind of changed in the last few months, kind of how you’re thinking about, where things could be over the mid to long term?
Mark Walchirk: Yes. It’s a good question. First of all, we’re really pleased with our team has responded during this crisis period that we’re in. And I think we’re certainly continuing to focus on the near term and improving our performance during this period, and really making sure that we’re heads down focused on driving through this recovery period. And we’re certainly making good progress. But, we still have work to do and opportunities to continue to improve our performance. I think, longer term, we do expect continued evolution in the market and just the -- I think the trends that we saw pre-COVID likely accelerating as we exit and get back to some period of stability. And as you would expect, we pushed the pause button on a number of the strategic opportunities we were looking at when the pandemic started. And assuming that the end markets continue to recover, I think, we’ll be in a position to restart some of those opportunities in the months ahead. But, certainly for now, we remain primarily focused on the continued recovery and making sure we’re taking full -- putting our full efforts against that, but certainly with an eye towards the future, and thinking about how -- what that new normal may look like, and obviously, how we can take advantage of those opportunities in the market down the road.
Operator: Your next question comes from line of Steven Valiquette of Barclays. Your line is open.
Steven Valiquette: I just had a general gross margin question around the overall PPE. I think, you mentioned that it represents just under 20% of your consumable sales if you heard right. And so, as a distributor, I’m guessing your product acquisition costs or COGS have increased for PPE. But on the other end of all your distribution transactions, are you ultimately seeing that gross margins expanding on PPE or staying about the same or compressing a little bit? We have seen a pretty wide array of trends around PPE margin trends for other healthcare distributors. Want to hear more about that just within your own book?
Mark Walchirk: Yes. Steven, I’ll talk maybe a little bit about just the PPE trend in general. Maybe Don can -- and I don’t think we’re going to get into any specific kind of gross margin numbers around very specific categories within the segments. But, certainly, while the situation with PPE has improved, there’s still a fair amount of supply chain disruption and supply constraints, and obviously, that drives a lot of changes in terms of availability, pricing, et cetera. And our teams, as I mentioned earlier, continue to work around the clock to identify new sources of product and really just make sure that we’ve got the product that meets our high standards and obviously the high standards of our customers. I would say, we expect to continue to see improvements in the supply chain in the coming weeks. We’re certainly keeping a close eye on the situation in terms of how that could affect supply going forward and the continued onset of the virus. As I did mention, certainly PPE has grown for us over the last several months. I did indicate, it represents less than 20% of our total consumable sales. And certainly, that percentage could decline as the supply chain stabilizes in the months ahead. I think, we have seen a fair amount of pricing variability. I think, certainly as we think about our PPE category, I mean, to get to your question here a bit, which is around private label, makes up a good portion of our PPE category. And certainly, our private label products have a higher gross margin rate than non-private label products. So, we’re certainly encouraged by that and that’s been an ongoing focus for us here at Patterson for many quarters in terms of continuing to drive the introduction and penetration of our private label products. And certainly PPE is an area that has contributed to that and we expect we’ll continue to contribute to that going forward. I don’t know, Don, if you have anything to add there.
Don Zurbay: No. I mean, we’re not trying to not be helpful. But, I think, Mark, gave you a lot of good color there on the topic.
Operator: Your next question comes from the line of Jonathon Block of Stifel. Your line is open.
Jonathon Block: Don, maybe first one for you. If you could just elaborate a little bit on segment gross margins, I was surprised to hear that just general gross margins were up and why the consumables down more than equipment and I’m guessing there were some equipment promos in the quarter. And then sort of on the flip side was surprised to hear overall Animal Health gross margins I believe were down because companion was better than production, and I think companion has a better GM profile. So, maybe could you just elaborate a bit at the segment level on GMs and then I just had a free follow-up.
Don Zurbay: Sure. Well, I think, if you take the Dental side, a lot of the cost actions and just some of the variable cost actions that -- or cost impacts that are related to sales, impacted the Dental side, pretty significant. So, we were really able to do good work there, I think on overcoming the sales decline. And then, on the Animal Health side, I think what you’re seeing there to some extent is the impact of lower volumes in our production business and some of the rebate ramifications of that do have a somewhat negative impact on the margin. Even though, as you mentioned, the companion business was up and had a really nice quarter. So, there is a little bit of back and forth. Again, the Animal Health side is a little bit of a tale of two businesses within one and some of that had some impact on the margin.
Jonathon Block: Okay. So, maybe just a follow-up to that and then I’ll layer in the second question. It seems, per your comments, the $20 million of onetime, don’t necessarily think that all resides within OpEx. It seems like it might be split somewhat between OpEx and in gross margins. And then, the separate -- original second question was just the PPE around 20% of dental consumables in fiscal 1Q, what was it a year ago? I mean, just so we can sort of use some implied math there. Thanks for your time guys.
Don Zurbay: Yes. The $20 million is really, just to get to your first question or your first part of the question is really, almost entirely OpEx, frankly. That’s in my -- the way we looked at that was that’s the amount of cost that we don’t expect to have the benefit of those cost reductions. Those are more fixed costs, if you will, not variable, as we move forward. The cost we didn’t include there in terms of cost reduction was really the variable aspect, which will obviously move the sales. That would be more of the commissions and T&E type expenses.
Jonathon Block: Got it. And I’m sorry. Just on the PPE, a year ago, roughly?
Don Zurbay: What was the question? Sorry.
Jonathon Block: I’m sorry. For the current quarter, I think, PPE was around 20% of dental consumables for this current fiscal quarter, 1Q ‘21. What was it as a percentage -- approximately same period a year ago?
Don Zurbay: Yes. I would say -- not half that but somewhere in between those two numbers.
Jonathon Block: Got it. Perfect. Thanks for your time, guys.
Don Zurbay: Thank you.
Operator: Your next question comes from the line of Jason Bednar of Piper Sandler. Your line is open.
Jason Bednar: Good morning. Thanks for taking the questions. Mark, I wanted to start on dental equipment here. Solid trade shows, historically been pretty nice lead and revenue generators for you and your peers in equipment. I’m just hoping you can discuss your view on maybe how Patterson and dental practices will adapt to the lack of these trade shows? Do you think these dollars to expand or just spread out over multiple months rather than consolidate around the trade shows, or do you think the virtual trade shows will end up stimulating strong amount of demand?
Mark Walchirk: Yes. Jason, thanks. Good question. Certainly, we’re getting into that season here in the coming months. And I think we’re all facing just a new dynamic with regard to trade shows and selling events in general in the dental market. And so, I think, obviously, no one knows exactly how that’s going to play out. I will tell you, we’re really excited about the work that we’re doing with our manufacturers right now. Our manufacturing partners right now, in terms of -- in particular, obviously, one of the large events is the DS World event. We did a virtual launch earlier this week, as a matter of fact and which went very well. And, we’re getting our teams fired up to engage with our customers in a different format than we typically have. And while certainly, there’s tremendous value in getting customers together and really talking about the benefits of products and technology and supporting their investments. Frankly, the idea of doing it in a virtual manner allows you to reach a much broader array of customers and a much broader audience. So, we are certainly focused on ensuring that the success that these selling events and trade shows have in the past that we are able to execute in a virtual environment. But certainly, I think we all have the question of how effective those are going to be. I think, we’re going to learn a lot over the next six months or so. But, I can tell you that we’re very-focused on ensuring that those virtual events are as successful as possible. And we do think that there’s some benefit frankly in terms of the reach around these virtual events that maybe you typically wouldn’t have with an in-person event. So, we’re optimistic and our teams are really focused on making sure that those are successful and we’re working closely with our partners to do that.
Jason Bednar: Maybe just one follow-up, a bigger picture for you Mark or Don. Really just wondering on Patterson’s appetite for M&A from here. You’ve gotten the balance sheet in a much better spot than it’s really been in quite some time. The valuations we often see are getting extended probably everywhere you look. So really just be interested to hear your updated thoughts on appetite for M&A in this environment versus say other sources of capital allocation? Thanks.
Mark Walchirk: Yes. I mean, just a quick comment, I’d reinforce a point I made earlier and then Don can kind of weigh in. I mean, I think right now, we’re continuing to focus on getting through this period and trying to frankly continue to think through what some of the scenarios may be as the pandemic continues to evolve. But, certainly, with an eye towards the future and some of the things that we had kind of pushed the pause button on, we’re interested and certainly restarting here as things continue to play out and stabilize. So, I’d say, that’s kind of a general point of view that we have. And certainly, Don may talk a little bit more about the capital element of that.
Don Zurbay: Yes. Glen, (sic) [Jason] I think you saw that, we continue to do our dividend as a really important aspect of return to shareholders. M&A, it’s definitely top of mind for us. I think that as -- but as Mark mentioned, we need to see a little more stabilization in things, we need to see how this is going to play out and we have our balance sheet in a good spot. I think, in spite of the pandemic, we’re really, really happy with where we sit right now. And so, there’s some light at the end of the tunnel in terms of looking at this. And we’ll be definitely focused on that as a good use of capital, once there’s just a bit more stability that we can see.
Operator: Your final question comes from the line of Glen Santangelo of Guggenheim. Your line is open.
Glen Santangelo: Hi. Thanks for taking my question. Hey, Mark. I just wanted a follow-up on the exit rate question. I think, you said that in July the Dental business was up mid-single 5%, but the consumable business was a double-digit in July. And then, I think, you said, in August, you saw separation revenue improvement. Is that on an absolute basis, on a growth rate basis or both?
Mark Walchirk: I would say, Glen, on a growth rate basis. So, the numbers that you had are correct that we grew mid single digits in July and we didn’t think that our consumables was up double-digits in July. And we’re certainly encouraged by the continued positive trend that we’ve seen so far in August. Although, certainly it’s early in the quarter. So, I think those numbers are accurate that you laid out. And hopefully that answers your question. And look, we’re certainly continuing to work through a somewhat volatile period. But, yes, we’re encouraged by the improved trends that we continue to see.
Glen Santangelo: Could you maybe just comment a little bit on how much maybe market share gains might be aiding that growth rate? And then, I’ll throw my last final one out is on the Animal Health side. Did you comment at all on the August run rates on the Animal Health side? Did I miss that?
Mark Walchirk: I don’t think we commented specific numbers, but we did I think comment the fact that our trend lines both in our companion animal and production animal continued to improve into August from Q1. I think, in terms -- look, we’re certainly very focused on continuing to improve our performance and drive both, top-line and bottom-line results. And I think as we look at the trends in our Dental business right now, again, we’re encouraged by what we’ve seen over the last several months. Look, we believe it’s very safe to go to the dentists, especially with all the precautions that dentists have taken to help ensure the safety of their staff and patients. And we believe that we’re regaining some of the momentum that we saw in our Dental business pre-COVID. Again, pleased with our performance, our team is executing well. We made a wide range of investments to rebuild and develop our sales and service teams. And I think we’re seeing some of those investments pay off. And we’re pleased with the continued momentum that we see within our Dental business. But certainly we’re in a period that’s still pretty volatile. And I think as we’ve indicated several times, both Don and I, I think before we’re in a position to kind of predict the future and predict growth rates and what we would expect our growth rates to be, obviously, you want to be in a period where we’ve got some stability before we’d be in a position to do that. But again, we’re encouraged by the results in our dental business and continued improved trends.
Glen Santangelo: Okay. Thank you.
Mark Walchirk: Thanks, Glen. So, I think that’s all the time we have today. I want to just again thank everyone for your time and interest in Patterson. I appreciate your questions today. We certainly look forward to speaking with you again when we report our Q2 results. And on behalf of Don and I, thanks again. Have a great week.
Operator: This concludes today’s conference call. You may now disconnect.